Operator: Ladies and gentlemen, thank you for standing by. Welcome to the Sapiens International Corporation's Second Quarter 2024 Financial Results Conference Call. Sapiens issued a press release before the market opened this morning and it has been posted on the company's website at www.sapiens.com. All participants are presently in a listen-only mode. Following management's formal presentation, instructions will be given for the question-and-answer session. I would now like to hand the call to Ms. Yaffa Cohen, Sapiens' Chief Marketing Officer and Head of Investor Relations. Yaffa, would you like to begin?
Yaffa Cohen-Ifrah: Thank you, operator. I would like to welcome all of you to Sapiens conference call to review our second quarter 2024 results. With me on the call today are Mr. Roni Al-Dor, President and CEO; Mr. Roni Giladi, our CFO; and Mr. Alex Zuckerman, Chief Strategy Officer. Following the summary of the results, we will be available to answer any questions. Before we start, I would like to remind everyone that this conference call may contain projections or other forward-looking statements. The Safe Harbor provisions in the press release issued today also apply to the content of the call. Sapiens expressly disclaim any obligation to update or revise any of these forward-looking statements, whether because of future events, new information, a change in its views or expectations or otherwise. On today's call, we will refer to non-GAAP financial measures. A reconciliation of GAAP to non-GAAP results has been provided in our press release issued before the market opened this morning. A replay of this call will be available after the call on our Investor Relations section of the company website or via the website link which is available in the earnings release we published today. I will turn the call over to Roni Al-Dor, President and CEO of Sapiens. Roni?
Roni Al-Dor: Thank you, Yaffa. Thank you for joining us today. Let's start by reviewing the second quarter results. Revenue totaled $137 million, marking a 6.6% increase compared to last year, while operating profit reached $25 million, representing 18.2% of total revenue. This quarter showcased solid execution with North America delivered double-digit growth and Europe delivering mid-single-digit growth. Our profitability performance was notable this quarter, with an operating margin in the target range and a 13% growth in net income. Before I discuss the business details, I would like to remind everyone of our 2024 priorities. The first is to transition our solution to SaaS model with second insurance platform and the second is to leverage our investment to drive performance in all of our key regions. Let me explain how we are doing this, starting with Sapiens insurance platform. Sapiens recent collaboration with Microsoft and accelerate the use of AI in our platform, immencing it with advanced Gen-i capabilities and providing tailored unique solutions. I'm happy to share that we have successfully launched our intelligent insurance platform in the second quarter, a significant and exciting milestone for Sapiens. The platform represents the next generation of our insurance solutions and use AI to help our customers drive growth and efficiency. It incorporates digital engagement, data intelligence and core business process solutions with machine learning and JI capabilities designed to help insurers seamlessly innovate their offering and process, the platform enables them to stay competitive in a dynamic market with intelligent, data-driven business decision and hyperautomation of business process. For our customers, the platforms pre-integrated design ensures rapid deployment and seamless implementation accelerating growth by supporting end-to-end insurance process across all line of businesses. The platform is delivered throughout SaaS subscription model with snoop [ph] deal structure and priced accordingly. Pivoting now to our second priority for 2024. Let me highlight how we leverage our investment in all of our key regions to drive good performance. In North America, our strategic investment in research and development, product innovation and employees, together with our new partnership with Citi Integrator have created a robust effective platform to support our ambitious words in this region. The positive momentum in the Life business continue. In the second quarter, we signed a new platform deal with a leading life accident and health insurance company. The insurance carrier selected the Sapiens platform for Life to modernize its platform, expandit TPA services and enable it to scale quickly as it enters to new markets. The platform also enables their insurance to implement its long-term care insurance specialty. We are pleased to deliver the end-to-end solution the carrier was looking for and to accommodate its long-term care market needs. Additionally, our life solution had several North America go live in the quarter, including Cosuite illustration Pro underwriting Pro and we continue to progress with customer upgrades. Some of the go lives that we would like to highlight is Republic Life Insurance. This is the first digital direct-to-consumer insurer made possible by second core ship for like an annuity and second digital suite deployed on Microsoft digital cloud. Customers can acquire life insurance policies with point-of-sale decision and manage their policies throughout innovating customer portal, providing an enhancement first of its kind experience in this region. Also, this quarter, Pan America Life Insurance Group, PALIG went live with Sapiens IllustrationPro SaaS solution and Microsoft Azure cloud. Sapiens impowered PALIG to consolidate its enterprise recession standard streamline process and expand product offerings. After extensive competitor analysis, PALIG selected Sapiens to consolidate illustration and single platform and enable their insurance with a faster time to market. We see North America market itself. Second IllustrationPro will accelerate and streamline process providing an exceptional user and agent experience. In Property and Casualty, several North America project went live this quarter and we are progressing with customer upgrade. We continue to invest in our core suite for NPL solution to promote growth, innovation in the medical professional liability industry by extending and augmenting our NPL capability and product for policy administration, finance, claims and risk management and seamless integration with value-added vendor solution [indiscernible] to meet the needs of NPL insurers in rapidly consolidation NPL market. We are proud of our leadership in NPL ecosystem and are committed to this market. Our advanced solution unburden insurers from complex business problems and every business user to take control of the process. We had a synergy between those 2 words giving NPL insurers a clean bill of health to empower them to succeed. Our worker competition team has made significant progress during the second quarter and implemented the 3 projects signed in 2023. As mentioned in our previous call, we see this market as a significant opportunity for Sapiens in the U.S. and Canada in the years to come. Moving to EMEA and rest of the world. We had a few successful go-live with our IDITSuite, TierSuite, SkipSuite and Reinsurance Master this quarter. I would like to highlight one of the largest, most complex IDITSuite go live with Bangkok Insurance BKI, a leading insurer in Thailand. BKI went live with Sapiens Property and Casualty platform, including IDITSuite for P&C, reinsurance master and second Datasuite. We were chosen for our integration capability, end-to-end solution and proven ability to meet regional regulations. Overall, we see continuous demand in the market for our BC platform solution. AI is becoming a focus point in this market. We see generative AI model, the Sapient insurance platform can support the insurance value chain to provide customers in this region with a higher effectiveness and support achievements. We see an appetite for an insurance platform as an offering across all solution line and tiers. The majority of our new business bids are now SaaS platform based. As we said in our previous call, digital over legacy is also filling for seconds in the EMEA region, this particularly effective for smaller carriers until organization. Insurance in the EMEA region want the ability to roll out platform in multiple countries which may have different languages, currencies and regulations. With its global footprint, Sapiens build this capability into each offering and is uniquely positioned to support clients in successful multi-country implementation. This capability is an important differentiator for us in EMEA. The increased demand we have seen for our P&C platform in a various regions, including Europe, South Africa and APAC is reflected in our growth for our pipeline in this market. In the life and pension space, demand is growing across EMEA and APAC, with increasing appetite for more business automation and AI-enabled solutions to drive group business to market and improve services. We are seeing business channels wider to retail, white labeling specialty for bank insurers. We are seeing large life and pension players looking at platform transformation in group and individual investment, pension and annuity in addition to protection in the simpler line of business such as funerals. Those trends are reflected in the strengthening of our pipeline for our life and pension platform across Europe, South Africa and APAC. In the reinsurance space, we also see a growing interest for platforms across EMEA, APAC and North America to enable capacity and manage solvency as a business look to grow and diversify. Insurance sales growing pressure to increase capital to sustain their operations, driven by reassessment of natural catastrophe risk due to climate change and recent surge in inflation rates which elevate risk liability. Accordingly, the demand for reinsurers is on the rise, creating a favorable market for insurers. The current trends we see in the reinsurance market are in the increase of reinsurance rate and cost for insurers and shift underwriting terms and condition in reinsurance contract. Insurers must comply with the reinsurance requirement and therefore, must adapt and fine-tune their underwriting guidelines and practices. Sapiens reinsurance solution enable reinsurance to automate and manage end-to-end programs covering both seeded and assumed. Sapiens is the world's leading software vendor for reinsurance with over 100 customers using our reinsurance solutions. Moving to our marketing activity. The second quarter is typically our event season and this quarter, we participate in 20 shows globally, 14 in North America, 4 in Europe and 2 in [indiscernible]. We are encouraged by the feedback we received from trade show participants and the potential new businesses leads that will generate. Our North America client summit is scheduled for September in Austin, Texas. We look forward to updating you on this exciting event at our next investor call. In conclusion, the second quarter demonstrated strong financial and operating performance marked by solid revenue growth and profitability. We are effectively executing our 2024 priorities, including transitioning to SaaS model recipients insurance platform and leveraging our investment across key regions. Our success in North America, our positive momentum in our life, pension and annuity line of business and our ongoing innovations in all of our product lines demonstrate our commitment to deliver innovative, comprehensive solution globally. Now I would like to turn the call to Roni Giladi, our CFO. Ronni?
Roni Giladi: Thank you, Roni. I will begin my commentary by reviewing the second quarter 2024 non-GAAP results, followed by comments on the balance sheet and cash flow. I will wrap up with our guidance for 2024. Revenue in the second quarter of 2024 was $137 million, an increase of 6.6% compared to $128 million in the second quarter of 2023. On a constant currency basis, our revenue grew by 7.1%, reaching total revenue of $138 million. ERA for Q2 of 2024 totaled $169 million, reflecting growth of 12.1% compared to Q2 of 2023. We continue our journey of shifting revenue to subscription from recurring and nonrecurring revenues. Revenue mix; revenue from RioCan software product and RioCan postproduction services totaled $98 million compared to $83 million in the same quarter of last year, a $15 million increase or 18.7% growth from Q2 of 2023. Geographic breakdown; revenue in North America was $68 million compared to $62 million in the comparable quarter, an increase of 11.1% or $6 million. Revenue in Europe was $66 million, a year-over-year increase of 5%. On a constant currency basis, revenue in Europe grew by 6%, reaching $67 million. Revenue in the rest of fold which includes South Africa and APAC was $13 million, a decrease of $1.5 million or $2 million increase compared to previous quarter. Gross margin this quarter was 45.7% compared to 45.2% in Q2 of 2023, an increase of 50 basis points. This increase is steady improvement in the last several quarters and was mainly due to higher ratio of recurring and RioCan revenue versus onetime revenue and in case in the offshore ratio by 1% to 52.2% from overall company. Profitability; operating profit and margin in the second quarter of 2024 was $25 million and 18.2% of total revenue compared to $23 million and 18.2% in Q2 of 2023. Although gross margin improved, the operating margin remained at the same level due to strategic decision to increase our sales and marketing investment to further accelerate growth into 2025 and beyond, as mentioned earlier this year. Net income attributed to Sapiens shareholders for the second quarter of 2024 was $21 million, up 13.1% from $19 million in Q2 of 2023. Earnings per diluted share was $0.37 for the second quarter of 2024 up 12% from $0.33 for the second quarter of 2023. Turning to our balance sheet. As of June 30, 2024, we had cash and cash equivalents and short-term deposits totaling $186 million and debt of $40 million. On April 18, 2024, we paid cash dividend of $16 million or $0.28 per share for the second half of 2023. Adjusted free cash flow for the second quarter of 2024 was $6 million compared to $12 million in Q2 of 2023, mainly due to temporary time difference between revenue cognition and payment milestones. Also in this quarter, Maalot S&P Global, a part of the global rating firm Standard & Poor’s Financial Services has confirmed the long-term issue rating for Sapiens as AA-minus with stable outlook, while also confirming the rating for Sapiens debenture as [indiscernible]. The rating confirmation reflects the ongoing confidence of the market and expert in Sapiens. Moving to our guidance; we are reiterating our 2024 guidance. We expect non-GAAP revenue and operating margin in the range of $550 million to $555 million and 18.1% to 18.5% on profit, respectively. I will now turn the call back to Roni Al-Dor. Roni?
Roni Al-Dor: Thank you, Roni. This quarter demonstrates solid execution highlighted by double-digit growth in North America and mid-single-digit growth in Europe. Our profitability performance was particularly impressive, with a 13% growth in net income. Given our performance to date and the outlook for the remainder of the year, we remain confident in meeting our 2024 guidance. This ends our prepared remarks. Operator, we are ready to open the call for Q&A.
Operator: [Operator Instructions] The first question is from Dylan Becker of William Blair.
Dylan Becker: It's Dylan here. Maybe Roni A, starting with you, you called out the Microsoft partnership, the intelligence insurance platform. Can you give us a sense of a great receptivity customer feedback, how they're looking to leverage kind of that embedded intelligence in their core systems to drive better decisioning maybe wanting for you on the flip side of that, what this can mean for that broader business mix given some of the ongoing strength we've seen in post-production in ARR.
Roni Al-Dor: With your permission I will ask Alex to answer about question about Microsoft, okay?
Dylan Becker: Of course, of course. Yes.
Alex Zukerman: This is Alex speaking. So we have a strategic partnership with Microsoft around not only general AI and otherwise but in general, across the cloud and the power of AI be as well. And as Roni mentioned, we released our intelligent platform. The part of this intelligent platform is the massive usage of GEN AI and algorithmic AI within the business processes. We see a tremendous interest in the market. We get really, really good feedback both from our customer base and from the analyst community. And we are already running a POC with a customer in order to put the first of that into production. And the feedback so far quite encouraging. This is -- the market is very, very looking into how can GenAI be used to enhance efficiency and to provide better service to the customers.
Roni Giladi: I will follow up regarding the second question. This is Roni G. Obviously, the partnership with Microsoft is significant for Sapiens and also for our customers and prospects. We see this avenue, first of all, to bring new logo on board, again, with the support of Microsoft, we feel more powerful when we are offering our products. So additional new logo down the road. And as Alex mentioned, we are doing conferences together with Microsoft globally. The second one is the existing customer base. As all of you know, we have today about 150 customers that are already in the cloud but we have many other that we sold the product many years ago and we'd like to transition them to the cloud in the coming years. This can generate additional revenue stream which is recurring in nature, ARR and accelerate the growth of this line. Obviously, we do not expect this to happen in 1 year or 2 year. This is a trend over the next 5 years but can create significant revenue stream going forward, significant.
Dylan Becker: Okay, great. That's really helpful. And maybe going back to an Roni A or Roni G here. Could you see North America revenue accelerate again? I know you guys have made some strong investments in a push there. Maybe tie or sense of the types of wins that you're seeing here? Has that kind of shifted at all? Maybe what Microsoft can unlock in moving at market there but the broader kind of pipeline transformation, if you will, in North America would be great.
Roni Al-Dor: Yes, I will take it. As all of you know, in North America, we have almost 5 different types of business. Just to remind you, we have the life, including our core suite and what we call component. And then we have on the P&C, we have our core suite and the Workers Comp and then we have our decision management and then we have the reinsurance. So overall, we are continuing to grow on the life very good on both component and core suite. Workers Comp, as we mentioned last year, we signed the 3 deals. We see -- we extended these deals that we are looking forward to new ones and the same in reinsurance. So those are the areas that we see growth in the cost PLCs more stable right now. And so overall, those are the areas that we are seeing you go. And just to remind all of you, in a core suite life, we just brought them back in the last 2 to 3 years. And based on the contract that we signed and we plan to sign it's huge growth. And I think the combination that we are coming now with continued core suite and the component plus all-digital and we are improving on the platform looks very positive.
Operator: The next question is from Kevin Kumar of Goldman Sachs.
Kevin Kumar: I wanted to ask about kind of the revenue segments and the trends you're seeing there. The preproduction revenue is continuing to kind of decline and you're seeing kind of strength in the software cost production side. So maybe can you talk a little bit about kind of the drivers there of that? How do you think that kind of shakes out for the remainder of the year, that would be helpful.
Roni Giladi: Kevin, I will take this. This is Roni G. Yes, we can see this at end of implementation or preproduction implementation service slightly going down. If you remember, early in the year, we announced that we are moving to subscription globally all products of the company. And the idea is a shift from 2 line items. One is from the implementation. The other one is from the RioCan services into the subscription revenue line. So obviously, this has impact also on the preproduction implementation services and we see the trend of going up on the post-production services and software products. So this is one phenomenon that impacts our revenue stream on that. The second one is we had some delay in signing new logo deals in early in the first half of the year. We are very encouraged in early Q3 of progressing significantly with prospective customers that will fulfill this revenue line item as...
Kevin Kumar: Great. And then maybe one on just kind of where you're allocating net new resources Roni, I think you talked about increases in sales and marketing investments. What segments of the market do you see the most opportunity? Where are you allocating some of these new resources? Any color there would be helpful.
Roni Al-Dor: First, we already made the majority of the investments, so meaning hiring organized management and so on. So we are -- it's a it took us time but right now, we are on board. And the majority is, first of all, we say in North America and in Europe. The challenge in Europe is that we -- because we are working in many territories and we have language issues and so on. So it's almost like a 7 different regions, including South Africa and Asia. So in terms of the investment and I can say, overall, we are doing it in all the segments in marketing, gross marketing, sales and also existing customers. In terms of alliances and SI, we hired the -- last year, we hired a dedicated SI manager in North America. In the last half year, we hired the same position in Europe. So all the idea of to start to office alliances is putting also investment there.
Operator: The next question is from Chris Reimer of Barclays.
Chris Reimer: Congratulations on the strong results. I was wondering if you could talk about how carriers today are prioritizing their large core system modernizations. And if there's any one point that leads that decision-making process? And then following on that, are you seeing any changes in time lines -- sales time lines due to the transition or people who want to not transition anything about the time line?
Alex Zukerman: So this is Alex speaking. But in general, we still -- we keep seeing high interest of carriers in core replacement. The main drivers are, first of all, operational efficiency, especially in a volatile market financially wise and carriers are all looking to how can they improve their operation, reduce their operating cost and be more efficient. This is beefed up a lot today with the capabilities of data management, including AI and digital capabilities and cloud capabilities, a lot of them in order event to both drive operational efficiency and also growth in particular area. The trend is still strong in terms of core replacement interest. Sometimes, we see a bit a longer time that the carriers take to perform their due diligence and their bid processes, especially in our case, since we move into a larger deal with the platform, so not selling only the core but actually selling a turnkey solution with digital with data capabilities with AI and the core together with our SaaS offering. So there's multiple aspects for them to review takes a bit more time, sometimes in their review and analysis but a strong trend of interest in core replacement in legacy solutions are more and more prohibiting the business to -- from going forward and from reducing the operating costs.
Chris Reimer: So the sales cycle, you would say it's still pretty long, 1.5, 2 years?
Alex Zukerman: Sales cycle would move between, let's say, the 9 months for smaller, maybe noncore deals of our business applications of digital to the area of 12 to 18 to 24 a month on the large port a formation. This is more or less not changing compared to the last.
Operator: [Operator Instructions] There are no further questions at this time. Before I ask Ms. Yaffa Cohen to go ahead with their closing statements, I would like to remind participants that a replay of this call is scheduled to begin in 2 hours. In the U.S., please call 1-888-269-0005. In Israel, please call 03-9255-938 and internationally, please call 9723-9255-938. Ms. Cohen, would you like to make your concluding statement?
Yaffa Cohen-Ifrah: Yes. Thank you, everyone, for joining our call today. We look forward to discussing our third quarter results on our next earnings call. We welcome you to contact us if you have any further questions.
Operator: This concludes the Sapiens International Corporation second quarter 2024 results conference call. Thank you for your participation. You may go ahead and disconnect.